Operator: Good day, ladies and gentlemen, and welcome to the Q3 2013 Bio-Rad Laboratories, Inc Earnings Conference Call. My name is Glen, and I will be your operator for today. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would now like to turn the conference over to your host for today, Mr. Ron Hutton. Please proceed, sir.
Ronald W. Hutton: Thank you, Glen. Before we begin the call, I would like to caution everyone that we will be making forward-looking statements about management's goals, plans and expectations. Because our actual results may differ materially from these plans and expectations, I encourage you to review our filings with the SEC, where we discuss in detail the risk factors in our business. The company does not intend to update any forward-looking statements made during the call today. With that, I'd like to turn the call over to Christine Tsingos, Senior Vice President and CFO.
Christine A. Tsingos: Thanks, Ron. Good afternoon, everyone, and thank you for joining us. Our third quarter was a bit challenged on the top line, with net sales for the quarter of $505.1 million, an increase of 1.3% on a reported basis and versus the same period last year sales of $498.7 million. On a currency-neutral basis, sales increased 1.8% compared to last year. During the quarter, we experienced good currency-neutral sales growth across many of our key diagnostic product lines, as well as selected Life Science product lines, including $5.5 million of sales contributed by our new antibody business. Excluding currency and the addition of AbD Serotec, organic sales increased just shy of 1% compared to last year. The overall quarterly growth was tempered by a decline in Europe, as well as continued challenges for our Life Science segment related to the constrained academic and government research funding environment. The reported gross margins for the quarter was better-than-expected at 56.3% compared to 54.9% in the year-ago period. This improvement in gross margin is the result of favorable product mix, improved utilization and a $2.9 million one-time benefit related to a correction in the valuation of finished goods inventory for the first half of this year. Excluding this adjustment, the third quarter gross margin was 55.7%. When compared to the same quarter of last year, remember that the third quarter gross margin in 2012 was negatively impacted by a $3.8 million noncash charge for a long-term environmental remediation program. Excluding this environmental remediation charge, consolidated gross margin for the third quarter of 2012 was 55.6%. And finally, the total noncash purchase accounting expense recorded in cost of goods sold related to prior acquisitions was $8.2 million for the quarter, which compares to $6.5 million in the year-ago period. SG&A expenses for the third quarter were $202.2 million or 40% of sales compared to $160.1 million and 32.1% of sales last year. Increased spending versus last year's related to incremental costs associated with the recently acquired antibody business, as well as increased ERP-related expenses and amortization. Most notably, the current quarter SG&A also includes a $16 million accrual of the $20 million aggregate amount mentioned in our press release, in connection with our efforts to resolve the previously disclosed investigation relating to the Foreign Corrupt Practices Act. When looking at SG&A spend year-over-year, I would also remind you that in the third quarter of last year, we recorded $8.5 million of favorable impact due to the reduction in the valuation of the purchase consideration for QuantaLife. Also recorded in SG&A this quarter is $2.2 million for amortization of intangibles related to prior acquisitions. Research and development expense in Q3 was 10.5% of sales or $52.9 million compared to $51.7 million in the second quarter of this year and $47.8 million last year. This increase is primarily related to our investment in new technology and platforms for the diagnostics market, including diabetes monitoring and blood typing. Also impacting the R&D number is a change in accounting treatment for certain French-based tax credits, which had previously been accounted for as part of the tax provision, that are now being accounted for as a reduction of R&D expense. For the third quarter of 2013, this benefit was approximately $700,000 or $3.7 million year-to-date. Going forward, we expect R&D expense to continue to be 9% to 10% of sales. Excluding the one-time benefit associated with the $2.9 million inventory valuation and cost of goods sold and the $16 million of accrued legal-related expense in SG&A, the operating margin would have been approximately 8.4% for the third quarter and in line with our previously stated outlook of 8% to 10%. During the quarter, interest and other income was a net expense of $34.3 million. This compares to $10.8 million of net expense in the year-ago period and $3.9 million in the second quarter. This significant increase in expense is primarily related to cost of $15.6 million associated with the redemption of our 8% subordinated notes, higher foreign exchange transactions and $4 million of accrued interest expense related to our efforts to resolve the FCPA investigations. The effective tax rate used for the third quarter is not meaningful as the pretax income is negative. This effective rate calculation also reflects the adjustments for the refundable tax credit and approximately $3.7 million of one-time discrete tax charges for reserves and audit settlements during the quarter. Excluding any future discrete items, we anticipate the quarterly effective tax rate to be in the range of 30% to 33%. This revised higher level is primarily the result of the change in accounting treatment for the French tax credits I spoke of earlier. Slower-than-expected sales, combined with the FCPA-related aggregate expense accrual and a one-time costs for the bond redemption, resulted in a net loss for the third quarter of $7.1 million and diluted earnings per share of minus $0.25. Now if we look at some of our segment information. Life Science reported sales for the third quarter declined year-over-year to $162.9 million, a decrease of 2.5% on a reported basis. On a currency-neutral basis, sales declined just over 1% versus last year. Sales of our Life Science products continued to be hampered by constraints in the global academic and government spending environment, partially offset by good demand for our new cell sorting and chromatography instruments and the acquired antibody business. Despite the success of our new products, organic currency-neutral growth, Life Science declined 4.4% for the quarter, reflecting flat-to-down sales in nearly all regions. It is also worth mentioning that our recent Life Science sales performance has been tempered by changes we are currently making in our distribution network in China, which should better position us for growth in the future. Our Clinical Diagnostics group posted sales of $338.8 million, an increase of 3.2% compared to last year, both on a reported and currency-neutral basis. This growth was primarily fueled by good demand for our quality control, diabetes monitoring and autoimmune products. On a geographic view, diagnostic currency-neutral sales for the quarter increased most notably in the U.S., China and Latin America. The growth was tempered somewhat by the challenging economic environment in Europe where sales declined versus last year. As of September 30, total cash and short-term investments were $562 million. This compares to $834 million at the end of the second quarter. The decline in cash is a result of our redeeming the high interest rate 2016 bond for a cash outlay of $312 million. Redemption of these bonds will save the company $24 million per year of interest payments. Cash from operations during the quarter was $62.8 million. The decrease in operating cash flow versus last year's is the result of the increased payments to employees and professional services, as well as the $12 million of premium paid to call the bond. And the dollar remained strong at $64 million for the quarter and nearly $230 million year-to-date. Net capital expenditures for the quarter were $24.6 million. And in the year-to-date run rate, our full year expectations for CapEx is now slightly lower, in the $110 million to $120 million range. Finally, depreciation and amortization for the quarter was $37 million. Moving to our outlook for the remainder of the year. On our last earnings call, we guided currency-neutral revenue growth to be in the 3% to 3.5% range for the base business and 3.5% to 4%, including Serotec. As we told you -- we also told you that any further deterioration in Europe for funding in the academic and government research markets could make our goals difficult to achieve. Given our year-to-date currency-neutral growth of about 2% for the base business and 3.1%, including Serotec, and combined with the continued European challenges and constraints funding environment, we now believe the full year currency-neutral sales growth for 2013 will likely remain in that same 2% to 3% range we have experienced so far this year. As is typical with our historical patterns, the fourth quarter often reflects a sequentially lower gross margin, as the product mix shift towards a higher percentage of instrument sales, as well as a lower operating margin reflecting higher SG&A expenses, which are typical of our year end. With that in mind, and given the year-to-date result, we believe that our operating margin will be between 8% and 9% for the full year, excluding the accrual for our FCPA-related matter. As has been our practice in prior years, we will share our thinking and outlook for 2014 in February during the fourth quarter earnings call. And now, we're happy to take your questions.
Operator: [Operator Instructions] And your first question comes from the line of Brandon Couillard with Jefferies.
S. Brandon Couillard - Jefferies LLC, Research Division: Christine, could you help us quantify the aggregate dollar amount booked in the P&L for the ERP system in the third quarter, and perhaps if you could break out the capitalized amount?
Christine A. Tsingos: I don't have the exact numbers with me, Brandon. I can tell you that the -- if where your question is headed is around how much of the project was expense during the quarter if that was originally intended to be capitalized. It's about $3 million of higher expense than we would have originally anticipated. Cash is the same out the door. And so let me see if I can track this down while we're doing the other questions in terms of the exact dollars of capital and expense in the third quarter.
S. Brandon Couillard - Jefferies LLC, Research Division: Okay. And I don't know if Brad or John are there, but with respect to the Life Science business in the third quarter, could you elaborate on what you saw, either from a product perspective. Any color you could give us by geography and how you would characterize the competitive landscape? And then perhaps a view on the change in the distribution network in China. Some detail there would be helpful.
Bradford J. Crutchfield: That's a lot of questions there. In general items, we didn't see a lot in -- significant changes in competitiveness of the products. In fact, we have a pretty strong order pipeline. We did have some timing issues as we switched over from the QX100 to the QX200. Some of those sales, which we could have enjoyed in the third quarter will slip into the fourth quarter. In general, Europe is stabilizing for us. I think that we're pretty happy about that. U.S. continues to suffer from sequestration. We didn't see any impact of the government shutdown in the third quarter because that, obviously, happened after. But we really did see some changes in China, some shortfalls in China and really what we're doing is we're moving to a much more closer model to our customers -- large distributors to a more closer, smaller distributor model. And that certainly has had an impact. But that's all consistent with us putting in a better position in the future.
John Goetz: On the diagnostic side, our sales growth, primarily kind of coming from U.S. and China in the area of diabetes controls and autoimmune testing. Where we were challenged, or continue to be challenged is in Europe, and we've had some declines there.
S. Brandon Couillard - Jefferies LLC, Research Division: And John, could you give us an update on where you stand with respect to launching the new blood typing system in the U.S. market. Have you submitted that system to the FDA? And what's kind of the timeline, the outlook for commercialization here?
John Goetz: Yes. We're still completing our clinical trials at this time, and we hope to submit to FDA soon. And then after that, it's a little bit about anybody's guess about how long that's going to take.
Operator: And your next question comes from the line of Justin Bowers with Leerink Swann.
Justin Bowers - Leerink Swann LLC, Research Division: So just continuing with China there. Is there anyway that you could maybe directionally talk about -- was it down or flat, up slightly in the quarter? And then in terms of the changes that you're making there, maybe timing around when you expect to see an inflection point. And then, maybe how you expect that to help the biz going forward?
Bradford J. Crutchfield: Well, certainly, it was down for the quarter. We expect this, over the next few quarters for it to rebound. And really, the most important thing for us is to be closer to our customers. And we find that, that's a lot easier to do with smaller more focused distributors versus larger distributors, and that was certainly the move we make. It's all consistent with us as we move to a more content-solution-based approach. What we need is a much closer relationship with our customers, and so that's why we've made these notes.
Justin Bowers - Leerink Swann LLC, Research Division: Okay. And now just as a follow-up to that. What proportion of the Life Science business is exposed to China currently?
Christine A. Tsingos: We don't break out to that level of detail.
Justin Bowers - Leerink Swann LLC, Research Division: Okay, okay. And then just maybe from a high level, what are you guys seeing in the dPCR market? And maybe talk about the trajectory there, with some of the changes and the competitive dynamics over the last few months?
Bradford J. Crutchfield: Actually, things are going quite well. We did launch in the QX200. As you're aware, there were a couple of new competitors that came on the market early in the year, and that kind of slowed things initially as people stopped to look at that, those products. But the trajectory of our business going forward is accelerating. We do have, again, a good visibility into the fourth quarter and we're doing quite well. This is a market that's now kind of hitting its stride. I think people are -- the applications that are being published, the number of papers have really expanded the use, as we've kind of predicted, far beyond our own imagination into some really exciting area. So we're really excited about this opportunity in the book -- in the future.
Justin Bowers - Leerink Swann LLC, Research Division: Okay, great. And then just 2 more quick ones. With SG&A that came in a little better than us, and I'm just curious if that is -- if there's any -- if that's due to like any change that you guys are operating the business, or if it's accounting related for the way that you're -- for the ERP system. And then finally, you said something about the gross inventory charts in your prepared remarks, and I'm just wondering if you could repeat that and the impact on gross margins?
Christine A. Tsingos: Sure. So I'm not sure when you talk about SG&A was better than you were expecting, I don't know what your expectations were. But I think -- we think SG&A came in, obviously, much higher than we'd originally anticipated, primarily driven by the $16 million accrual, but then also, some increased ERP-related spend during the quarter.
Justin Bowers - Leerink Swann LLC, Research Division: Okay. That's helpful. I guess, I was just looking, adjusting for the charge there, but that's helpful.
Christine A. Tsingos: No, I -- so I don't disagree with you because given the lack of air cover on the top line, the margins hung in there. As far as your question on clarification of what's going on in cost of goods sold and the gross margin, during the quarter, we recorded a $2.9 million one-time benefit, and this is basically to make a correction in the valuation of our finished goods inventory for the first half of the year, so through the 9-month period. If -- and that, of course, is a reduction of cost of goods and an improvement of the margin. If we were to take that out, today's gross margin was 55.7%, and that compares to a base gross margin in the third quarter of 2012 of 55.6%. I'm not sure, Justin, if that clarifies your question or if you needed something different.
Justin Bowers - Leerink Swann LLC, Research Division: Yes, it does, it does. I just -- I didn't get the adjusted gross margin figure there, and I was just trying to reconcile it. But I got it now.
Operator: And your next question comes from the line of Jeffrey Matthews with RAM Partners.
Jeffrey Matthews - RAM Partners, L.P.: On the challenges in Europe, I'm particularly interested in whether you think you're losing share in France in Diagnostics, or whether you think this is just a market-related slow down?
John Goetz: In Europe, our primary declines there are coming in the infectious disease blood virus testing area. It's a -- I would say that is masking largely where we're actually getting some growth. It's a big chunk of business for us there. And any slowness or declines there do affect the overall result.
Jeffrey Matthews - RAM Partners, L.P.: Okay. Is it a market issue, or is it more of a -- you're losing tenders?
John Goetz: It's -- most of this business is tender. And so as those tenders go, you either win big or you lose big. So it's an interesting dynamic that's happening there now as customers are extending their tenders beyond our usual 2-, 3-, 4-year tender. We're seeing tenders much longer than that now. It's driving a lot of heavy competition for tenders, and we're just not that interested in pursuing some of these at such low prices.
Jeffrey Matthews - RAM Partners, L.P.: Okay. And then I think in the last call, you talked about making some downsizing a bit on the cost side in Europe. Is that -- has that happened?
Christine A. Tsingos: I think a lot of it has been in process when -- you're talking about when we talked about it in the first quarter of accruing for some changes in Europe. And that's -- that's ongoing and it's something we continue to look at.
Jeffrey Matthews - RAM Partners, L.P.: Okay. Europe is notoriously difficult to reduce headcount. Have you had any -- is there any structural impediment -- is there any structural impediment to it, or has that been proceeding as you had planned?
Norman D. Schwartz: No, I don't think there's any structural impediment. It's just a question of the process. It's kind of a long drawn-out process.
Jeffrey Matthews - RAM Partners, L.P.: Sure, sure. Okay. And then on the -- I wanted to just understand the comments on the China distribution a little better. Is the shift the result of changes in the China marketplace itself? Or did you go into China with the wrong distributors, I guess, is a kind of a bad way of asking it?
Norman D. Schwartz: No, no, no. I think this is really adjustments that we've wanted to make. As Brad said, it's just kind of shifting our distribution strategy a little bit and adjusting for that.
Jeffrey Matthews - RAM Partners, L.P.: Okay. ERP, any -- have you rolled it out in any -- or gone live in any other spots?
Norman D. Schwartz: No, not yet. We've -- we have pretty good luck with our first deployment. We're obviously doing a little cleanup from that and getting ready for the second deployment. Probably the next deployment will be some time late next year, something like that.
Christine A. Tsingos: In the first half of 2015.
John Goetz: Yes.
Bradford J. Crutchfield: Yes.
Christine A. Tsingos: And [indiscernible] the rest of the U.S.
Jeffrey Matthews - RAM Partners, L.P.: Okay, that was in my notes. I had you saying in the last call that you were looking to work on the rest of the U.S. towards the fall. But was that -- did I get that wrong or...
Christine A. Tsingos: No, no, that's so -- it is true that we're in the midst now of starting to plan for the second deployment, which is the rest of the U.S., so that's kind of in the fall commentary from before. And as we start 2014, we will go in depth in terms of that blueprinting process and begin the implementation throughout the year, and then hopefully, go live very early of 2015.
Jeffrey Matthews - RAM Partners, L.P.: Okay. And no horror stories, no freak outs so far?
Christine A. Tsingos: No, we're still in business and serving our customers. Obviously, there's always challenges of getting people to adopt to a new system, but I don't think there's anything different here than other companies would face. And I think we've been pleased with the results, so far.
Operator: At this time, we have no further questions from the phone lines.
Christine A. Tsingos: Kindly poll one more time, please.
Operator: [Operator Instructions] And your next question comes from the line of Sam Seagull [ph] with Senator [ph].
Unknown Analyst: Just wanted to clarify a little bit, an earlier question that was asked around timing. Obviously, it seems that some of the underlying markets were softer than hoped. But the tone, I guess, seems a little more constructive than perhaps, the softness in the quarter might suggest. So whether it's with the switching distributors in China or otherwise, I mean, bigger picture, how are you guys feeling as you, I guess, you round out the year, more or less the same? Same trajectory of growth? Incrementally worse, or encouraged by certain markets? And I mean, just big picture if you could try to characterize the mindset as we finish out this year and head into next?
Norman D. Schwartz: I think we're thinking kind of more the same, kind of a similar pattern for the rest of the year as we've seen for the first 3 quarters. I don't see any major changes up or down. It's about where we are.
Christine A. Tsingos: Yes, I think I'd add, Sam, as you know our fourth quarter is generally our largest quarter of the year, and I think that the pipeline is indicating the same pattern to happen this year as well. In terms of overall growth, as Norman was talking about, we had a decent fourth quarter in the year-ago period. So the growth rates may still be in that 2% for the base business, 3% with the acquired sale range when all is said and done. But the pipeline is indicating that Q4 should have a similar pattern to what we've seen in prior years.
Operator: And your next question comes from the line of Brian Turner with Levin Capital. Moving to the next question, Brian, you may queue up again. And your next question comes from the line of Jeffrey Matthews with RAM partners.
Jeffrey Matthews - RAM Partners, L.P.: Two questions, and one is always asked. I'd like to ask Norman about the acquisition environment. But first, I wanted to follow-up again on something that came up in the last quarter call, where I think Japan was a little off, and the comment last time was that you thought that you saw a shift in how they were funding research. You expected it to come back in the second half, and I'm wondering if that was the case?
Christine A. Tsingos: And that's more of a Life Science?
Jeffrey Matthews - RAM Partners, L.P.: Yes, yes.
Norman D. Schwartz: I don't think there's been any change in Japan that I'm aware of.
Bradford J. Crutchfield: Yes, Japan is slow and we don't expect to see really, any -- I mean, obviously, their currency is a way off, but we don't expect really any paramount in Japan until the first quarter of 2014. I mean, a lot of businesses has been pushed off. So it continues to be slow and down for the quarter, and I think we're seeing that trend is going to continue.
Christine A. Tsingos: For the Life Science market.
Bradford J. Crutchfield: The Life Science market.
Jeffrey Matthews - RAM Partners, L.P.: And that stems from just government policy, Brad?
Bradford J. Crutchfield: Yes, it's government policy. What they did is they're sort of struggling how they're going to fund research, and what they did is they allowed the researchers to put off their spend. So we don't really have that kind of cliff that we usually see in the fourth quarter, our fourth quarter, and it's all being pushed into the first quarter, our first quarter, which would be their fourth quarter in their fiscal year.
Jeffrey Matthews - RAM Partners, L.P.: Got it. And could I just follow-up before asking Norman about acquisitions. Have you -- what have you seen in China? There's a huge variety of opinions out there on what companies are staying out of China these days. And distribution issues aside, do you see any change in appetite?
Bradford J. Crutchfield: I think the idea of China being sort of a runaway growth engine is probably not the case going forward. I think there's a lot more critical thinking in how grants or -- and government funding is doled out. Certainly, you have a local pharma market that's coming up, and the CRO business is coming up as well. So in general, I think China is still a nice upside and -- but I would say, end of the school, that the growth is going to be probably more tempered as sort of a market growth around 10% to 12% versus maybe a 14% to 17%.
Jeffrey Matthews - RAM Partners, L.P.: Okay. And then the acquisitions?
Norman D. Schwartz: We continue to look at acquisitions. We've got couple of interesting things we're looking at, at the moment. And as you know, you can never tell whether these things are going to come to fruition are not, but I think that certainly, the ones that we've done earlier, especially the Life Science acquisition, I think they're proving to be pretty good additions for us and we're rolling out those products. And so we feel pretty good about what we've done and again, we've got a few more things in the pipeline.
Operator: And your next question comes from the line of Mr. Brian Turner with Levin Capital.
Brian Turner: Two questions. First question, just can you help me understand if you had to sort of put a weighting on the softness in Europe versus the academic softness. Is it sort of equally in terms of the contribution to your 2%, 3% top line guidance? And then if you had to take a guess, which one do you think would turn more quickly. That's the first question. And second question is related to Sartorious. Have you increased your number of shares held since last quarter?
Norman D. Schwartz: So the first question. I think it's kind of hard to quantify kind of off the top of my head, what -- which has more impact. I think that in terms of which part of the business we'd expect to turn faster, probably the Life Science part. The Diagnostics part tends to be a kind of a more steady-state business. But again, it's very hard to quantify for you, which one has more impact. They both have some impact. We do continue to have an interest in Sartorius and do, from time to time, accumulate shares.
Christine A. Tsingos: Any other questions, Brian?
Brian Turner: No. That's it.
Operator: And at this time, we have no further questions from the phone lines.
Christine A. Tsingos: Okay, great. Well thank you, everyone, for taking the time to join us today. Bye-bye.
Operator: Ladies and gentlemen, that concludes today's conference. Thank you for your participation. You may now disconnect and have a great evening.